Natalia Nirenberg: Good morning, everyone, and thanks for joining us today for a discussion of our Fourth Quarter 2020 Results. In addition to reporting financial results in accordance with U.S. Generally Accepted Accounting Principles, we discuss certain non-GAAP financial measures and operating metrics, including foreign exchange neutral calculation. Investors should read the definitions of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation, a substitute for or superior to GAAP financial measures and are provided as supplemental information only. Please note that these financial results are preliminary and subject to year-end audit and adjustment. The Company’s audited consolidated financial results for the year ended December 31, 2020, will be included in the Company’s annual report on Form 20-F. Before we begin our formal remarks, allow me to remind you that certain statements made during the course of the discussion may constitute Forward-Looking Statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that mainly beyond the Company’s control. These include, but are not limited to, expectations and assumptions related to the impact of the COVID-19 pandemic and the integration and performance of the businesses we acquired, including Best Day and Koin. For a description of these risks, please refer to our filings with the Securities and Exchange Commission and our press release. Speaking on today's call is our CEO, Damián Scokin, who will provide an overview of the fourth quarter and update you on our strategic priorities. Alberto Lopez Gaffney, our CFO, will afterwards discuss the quarter's financials. After that, we'll open the call to your questions. Damián, please go ahead.
Damián Scokin: Thank you, Natalia, and good morning, everyone. Let me first wish that each of you are in good health and that your families are well. The COVID-19 pandemic challenged our industry in ways we have never seen before. The fourth quarter was another example of how we must stay on our toes, ready for the quick changes this pandemic throws our way. We have demonstrated our ability to pivot quickly, anticipate and respond to customers and adapt to their new behaviors. Our team has not only managed through the ongoing demand challenges, but also have made important progress on strategic initiatives, including: one, expanding our reach to new customers, while two, increasing engagement with customers. And three, focusing on profitability and maintaining a strong cash position. As this is one of the most challenging and unique times we have all faced, it is also a time that presents opportunities, and I look forward to highlighting some of those for you this morning. Beginning with expanding our reach to new customers. Looking at our performance in the quarter, we are executing on the integration of Best Day, which accounted for 20% of gross bookings in the quarter. A balanced geographic portfolio will generate more sustainable growth going forward. Moving next to increasing customer engagement. 2020 accelerated our strategy by fast forwarding many of the customer engagement initiatives that we have been building towards. We increased our flexible inventory from 20% to 60%, and we significantly enhanced our refund policy. Our royalty program continues to be gain traction, reaching close to 800,000 members, while our co-branded card with Santander is also gaining momentum as the bank has joined us in our marketing efforts via its app and telesales. Koin's penetration in the class gross booking increased 60 basis points to 3.4 percentage points. Another important initiative is the integration of Despegar's fraud scoring capabilities into Koin's payment platform. Next, focus on profitability. Despite the significant uncertainty we have to go through in 2020, we were able to strengthen our balance sheet and improve our cost structure. Additionally, in the fourth quarter of 2020, we observed a strong take rate of 13.3%, which was driven by a focus on profitability in our commercial strategy together with joint supplier negotiations with Best Day. Furthermore, this past quarter, we saw non-air segment accounting for 64% of revenue, driven by growth in higher-margin packages. On the selling and marketing front, we have continued with our strategy of lowering marketing spend per transaction as we continue to leverage unpaid channels. We are still focused on rightsizing our cost structure for the new operating environment. And we saw a 44% year-over-year reduction in structural costs and a 36% decrease in OpEx. Excluding extraordinary charges and the impact of Best Day and Koin, this decrease would have been 65%. I’m pleased by the fact that we have been able to maintain the cost savings target we have discussed in previous calls. As a result, we entered in 2021 being a more efficient and leaner company. Excluding the impact of Best Day and Koin, our consolidated adjusted EBITDA loss decreased 71% sequentially from minus $33.7 million in the third quarter to minus $9.7 million this past quarter. Last but not least, considering Despegar stand-alone, which excludes the contribution of Best Day and Koin, we had positive adjusted EBITDA in the fourth quarter, if we excluded the extraordinary charges as detailed in our earnings release. That the cost to sell transactions will entail higher costs due to rescheduling and cancellations and the cost to integrate Best day and Koin, which now sits at Despegar. Our 2020 results demonstrate the effectiveness of our strategic actions and the progress we have made to-date despite this unpredictable environment. Moving next for a discussion of the global travel industry on Page 4. As you are all aware, the effect of the global pandemic are ongoing, but we believe we are most likely through the worst of it. Nevertheless, the impact on the travel industry remains and is reflected in global airline seat capacity, which is still negative on a year-over-year basis, but in currently at a lower level. According to ICAO, airline seat capacity in Latin America declined 47% versus last year during the fourth quarter. That compares with a decline of 90% at the start of the pandemic. During the fourth quarter, Europe and Africa were the only regions that had a sharper decline than Latin America. In the bottom right chart, we have extrapolated the monthly seat capacity published by ICAO adjusted to take into account our international domestic exposure. As you can see, the monthly year-over-year decrease have been moderating throughout the fourth quarter before turning up again in January. Keep in mind that, as travel declines, it impacts our revenues first before it is reflected in capacity reductions. So the softness we experienced in December is reflected in January capacity reductions, as I just mentioned. Most of the travel restrictions that have been in place through 2020 were lifted in November. However, towards late December, Mexico was particularly impacted due to the increase of health alert in many regions of the country. The European market was impacted by another wave of the virus in the fourth quarter, and subsequent travel restrictions were enacted. We have observed that the trends in Latin America follows North America and Europe with a lag of approximately one quarter. Consequently, we saw similar negative trend in LatAm in the first quarter, although the level of contagion in LatAm was milder. The road to industry recovery is expected to be choppy and is highly correlated with the number of COVID cases, government actions taken to mitigate it and the vaccine rollout, which will be key for our consumers to regain confidence to travel. Moving next to a discussion about trends in transactions and gross bookings on Page 5. Since our last earnings call, the overall business environment did not materially change. Our operations continued to be impacted by the pandemic, albeit to a lesser extent than in the prior quarters. It is important to highlight that our results for the fourth quarter include a three month contribution from Best Day acquisition. In turn, total transactions of 1.26 million were down 56% year-over-year, an improving trend from the prior two quarters. Excluding Best Day, transactions were approximately one million, which was a 74% sequential increase. We also saw a similar trend with gross bookings, which declined 69% year-over-year to 401 million, including the contribution from Best Day. Excluding Best Day, gross bookings would have been 323 million, resulting in a 75% year-on-year decline in gross bookings. The rate of decline in gross bookings was sharper than that of transactions and is a reflection of a mix shift to lower-ticket domestic travel products as well as currency depreciation when compared with the fourth quarter of 2018. After a good start in October and November, both transactions and gross bookings slowed in December. This reflects the resurgence of the virus in many countries and the resulting slowdown in travel as I just discussed. Specifically, we saw this in Mexico. Hospitalizations increased across the country and the government also put in place restrictions on restaurant and commercial centers. This slowing trend in transactions and gross bookings continued into January of this year. By the second half of February, we were once again seen an improvement, with this trajectory continuing into early March. You can see the monthly trends in the bar chart shown on the right side of Page 5. Moving next to Slide 6. 2020 was quite the year in just about every respect. For Despegar, it was an opportunity to demonstrate our value proposition to our customers. Over the past year, we have proven our ability to pivot quickly, anticipate customer needs and adapt to their new behaviors. Our customers welcome us serving them in new ways. Let me now talk about a few of these actions. First, working with our suppliers, we were able to increase the flexibility of our current offering to 60% from 20% pre pandemic. At the same time, 90% of non-refundable bookings that were impacted by the full COVID lockdowns are now flexible in order to make it easier for customers to reschedule their freight. We also focus our communications and promotions on domestic travel, and we made significant changes to our refund policy. For example, we are also issuing refund coupons in U.S. dollars to mitigate the impact from currency volatility. Next, loyalty. For us, it is as important to welcome new consumers to our sites as well as having consumers that repeatedly choose Despegar for their travel experiences. And our loyalty program plays a key role in this. To-date, we have 760,000 loyalty members with the majority in Brazil, without much marketing activity as we wait for better travel conditions, we wish to expand the program to other countries. We have already signed up a significant number of customers in Argentina. Furthermore, our plan is to launch a loyalty program in Mexico at some point this year. As announced previously, we have launched a co-branded credit card with Santander in Brazil. We saw an acceleration of the sign-up in the fourth quarter of 2020 and the first quarter of 2021 as Santander joined our efforts by marketing the card through its app and telesales channel. To-date, and combined with our own efforts, we have 24,000 co-branded cards in circulation. The last initiative I wanted to discuss is Koin. We have been focusing on increasing Koin's penetration in Decolar, our Brazilian operation, through special campaigns and promotions. As a result, in the fourth quarter, penetration increased 60 basis points to 3.5% of gross bookings that are transacted via Decolar. The take rate achieved through the sale of Despegar product at Koin was 7.5%, and it is measured as a percentage of total purchase value. Additionally, we are working on integrating our highly rated fraud scoring platform into Koin. In so many ways, we are building deeper relationships with our consumers. We remain confident in our ability to provide one slate of solutions as we blend our agile platform with our leading position in the LatAm online travel industry. Moving next for a discussion of our focus on improving profitability on Slide 7. While it was another challenging quarter, we continue to see a number of benefits from initiatives we have undertaken throughout the year, enabling us to successfully manage the business through the pandemic as we focused on improving profitability and managing the variables that are under our control. We have been working on three key areas, mainly, negotiating with our travel partners, leveraging organic traffic and maintaining a lean cost structure. Since the onset of the pandemic, we have been working with our travel partners and have put in place a new commercial strategy adjusted to the current environment. We have been successful in this endeavor as the role of distributors have become an even more important channel for the travel suppliers. The result of these was a strong take rate, excluding cancellations of 14.5% in the quarter. Additionally, with the completion of the Best Day acquisition, we have been able to integrate both sourcing teams quickly and drive further improvement, thanks to a larger scale. In turn, we saw an increase in transactions of higher-margin packages with non-air revenue accounting for 65% of total revenue. As a result of these initiatives, you can see that in the first chart on the bottom left that this quarter revenues declined less than gross booking. Next, as the leading online travel agency in Latin America, we have leveraged unpaid marketing channels to drive visitors to our site. Strong participation in local industry events was also an important traffic driver. In the fourth quarter, we participated in the One Thing campaign in Mexico and Black Friday in Brazil. Mobile is also a more cost-efficient traffic driver, accounting for 50% of all transactions in the quarter. All these actions enabled us to reduce selling and marketing expenses by 73% in the quarter, while gross bookings only declined 69%. Excluding the impact of Best Day and Koin and extraordinary charges, the reduction in selling and marketing expenses would have been 89%. Last, maintaining a lean cost structure. Prior to the onset of the pandemic, we were already working towards becoming a leaner organization, but we have become even more so over the past year. Late 2019, we took some decisive action on expenses, and cost control was also a key feature in our operation in 2020 as we aim to cash on the impact from pandemic. We are very proud to have achieved a 44% year-over-year reduction in structural costs during the fourth quarter, sticking to the structural cost levels of the prior quarter. The chart on the bottom right of Page 7 depicts the evolution of our structural cost. Please note that these structural costs consider the operation of Despegar on a stand-alone basis. Regarding Best Day, as we advance on the integration, we expect to fully capture synergies by 2022. We achieved a significant number of milestones in 2020, operationally, financially and strategically, which positions us well when the travel industry recovers and beyond. Our accomplishments through 2020 as we continue to navigate an unprecedented environment have been a testament to the strength and resilience of our team. I will now turn the call to Alberto for a discussion of our financial results and thoughts about the near-term industry outlook.
Alberto Gaffney: Thank you, Damián, and thank you all for joining us today. Turning to Slide 8. We delivered another quarter of sequential top line growth, with revenues three and a half times higher when compared to the third quarter, although still largely affected by the COVID-19 prices on a year-on-year basis. As Damián noted, as reported revenues performed better than gross bookings in the quarter, driven mainly by a commercial strategy adapted to the new circumstances. Additionally, we observed a larger share of higher-margin stand-alone packages. Year-on-year, as reported, revenues were down 63% versus a 69% decline in gross bookings, resulting in an exceptionally high take rate of 13.3% in the fourth quarter. Customer cancellations due to the pandemic declined in absolute terms by nearly half this quarter to five million, representing only 9% of revenues. During these extraordinary customer cancellations, our take rate would have been 14.5% and revenues would have increased 177% sequentially. Several factors contributed to this improved performance, including the positive contribution from Best Day for the whole quarter, COVID-19 commercial strategy, reflecting adjustments we implemented from negotiations with our travel partners, leveraging our purchasing power through joint negotiations with Best Day's sourcing team, a strong focus on demand for non-air, which accounted for 65% of revenues, and promoting destinations with a higher take rate, such as Campo, Riviera Maja and Plaza del Carmen in Mexico as well as Gramado and Marcelo in Brazil. Turning to profitability on Slide 9. Adjusted EBITDA levels have been improving sequentially since second quarter 2020. In this past fourth quarter, we reported an adjusted EBITDA loss of slightly over 21.4 million, 36% less sequentially of the adjusted EBITDA loss reported in the prior quarter. Despegar, on a stand-alone basis, contributed with an adjusted EBITDA loss of 9.7 million, while Best Day and Koin contributed with an adjusted loss of $11.7 million. Note this does not reflect the synergies that we expect to cover from these recent acquisitions once the integration is completed. Excluding the extraordinary charges detailed in our earnings release published this morning, which includes extraordinary cancellations resulting from COVID-19, restructuring targets associated with cost-reduction efforts and onetime fees from our M&A and capital-raising efforts, comparable adjusted EBITDA would have been a loss of 7.6 million. For Despegar, on a stand-alone basis, this would have been a loss of only one million. Now please turn to Slide 10. We are taking advantage of the current crisis to build the foundation for a more profitable company in the future. That is why we think it is important to share with you this slide, because it will give you a glimpse of how we think of Despegar going forward. In our last earnings call, we mentioned that considering Despegar on a stand-alone basis, we thought we could be EBITDA breakeven as we get close to gross bookings per quarter in the 400 million area. This figure represents approximately 35% of Despegar's 2019 gross bookings level. Importantly, we also mentioned that this EBITDA breakeven level would exclude the following items: first, related to restructuring cost associated with the cost-reduction program, plus M&A and capital raising expenses, which resulted in comparable adjusted EBITDA loss of one million for Despegar on a stand-alone basis. Our assumptions also excluded the costs associated with integrating Best Day and Koin that currently sit at Despegar and the impact of canceled tickets, rescheduling and their services due to COVID-19. Based on these assumptions, Despegar, on a stand-alone basis, would have posted positive EBITDA of 3.5 million in the fourth quarter, with only 322 million in reported gross bookings. This is an extraordinary achievement and reflects well on the future business profitability. Moving to liquidity on Slide 11. We ended the year with a solid cash and equivalent position of 351 million, declining sequentially by 35 million. Total net operational short-term obligations increased sequentially by 69 million to 193 million, with the majority of the increase explained by the consolidation of Best Day. In this complex environment, operating activities drove a use of cash of 35 million, compared to cash generation from operating activities of 15.3 million in the year ago quarter. The use of cash resulted mainly from a net loss of 26.4 million, partially offset by 8.5 million in non-cash adjustments. A 34.9 million investment in working capital, partially offset by 18 million increase in other working capital accounts, including the assumption of Best Day's initial cash balance. Investment in working capital reflects an increase of 28 million in accounts receivables and a decrease in travel payable of 6.8 million. Wrapping up the key highlights of the quarter. We are not seeing a linear recovery. Gross bookings and transactions showed a positive trend in October and November. In December, demand slowed down due to a spike in COVID cases in the region and the restrictions put in place by some governments, particularly in Mexico. In this environment of lower demand, Despegar has become more relevant to suppliers. Leveraging our purchasing power at Best Day, we have put in place a commercial strategy adjusted to the new circumstances. As a result, we have been able to achieve Despegar's highest take rate since its IPO in 2017. We have been increasing engagement with our current customers through organic initiatives such as improving our offering by adding flexibility to our products and promoting customer retention through our loyalty program. We have maintained our focus on profitability. Online marketing channels continue delivering good results, with 50% of our transactions were done through mobile services, and structural costs remain aligned with third quarter results. Achieved EBITDA breakeven when considered Despegar on a stand-alone basis and excluding the cost to integrate the new acquisitions and extraordinary charges from COVID-19 as well as onetime M&A and financing increases. And last but not least, we closed the year with a strong cash position of $350 million, including restricted cash. Now please turn to Slide 13 for our final remarks. As we navigate through this pandemic, we have not provided formal guidance. However, we feel it is important to be as transparent as possible as to what we are currently experiencing and our expectation for the travel industry. Because of the unique environment we are facing, let me take you through some of our key assumptions. To begin, we are still facing similar COVID-related challenges as we have over the past year, and COVID still has the potential to be a headwind as it is difficult to fully gauge its impact. For example, we experienced some softness in December as a resurgence of the virus resulted in restrictions being reinstated. This softness continued into January and early February. On the positive side, we saw an improvement during the second half of February and continuing into March. Importantly, however, business performance is highly country specific. This Q1 dynamic looks similar to the trend experienced in fourth quarter 2020 in the Northern Hemisphere. As such, as COVID cases declined and travel restrictions are lifted, we expect travel to rebound. However, we expect that this rebound will likely be choppy. Moving now to the macro factors. We will continue to live and work in a largely pre-vaccine environment during the first part of 2021, but expect to see momentum returning later in the year as the availability of multiple vaccines is encouraging. However, it is hard for us to predict the rollout of the vaccines as it varies widely across countries. By way of example, in order to contextualize the impact of vaccination in travel, I would like to share with you the example of Chile. This country is leading when it comes to vaccination rollout and by March 8th, approximately 24% of the population was vaccinated, and we could observe a subsequent improvement in gross bookings of 34%. A sustained resumption in travel, though, is highly dependent on inoculating passengers. So to conclude, 2021 brings more uncertainty than any normal year, but we are focused on the variables we can control. To that end, we are working on the strategic initiatives we have undertaken over the past several years to optimally position ourselves for growth. This includes advancing on the Best Day and Koin integrations. Next, we believe our current liquidity, our efforts to reduce cash burn, focus on profitability, our balance sheet strength, will enable us to navigate the demand challenges of 2021. Although this year will be a challenging one, we remain nimble and continue to execute on our cost-reduction plan and commercial initiatives. This concludes our prepared remarks. We are ready to answer your questions. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from Ed Yruma of KeyBanc Capital Markets. Please go ahead.
Edward Yruma: Hey good morning and hope all are well. Two quick ones for me. I guess, first, some constructive commentary on Chile. I guess, when you saw that improvement in gross bookings of 34% in February, what type of travel are they engaging in, is it more local air, are you seeing some package activity. And then just as a housekeeping question, I noticed that trade payables increased, I think, almost 100 million quarter-on-quarter was that due to Best Day or if you could kind of walk us through why that number went up and how we should be modeling that going forward, that would be great. Thank you.
Alberto Gaffney: Hi Ed good morning and Alberto here. So let me address both questions regarding Chile. Clearly, as you know, today, Latin America is more a region of, let's say, domestic travel, short trips, et cetera. But clearly, as vaccination actually - the rollout actually moved in a positive manner. We are starting to see actually, let's say, more international travel started to pick up. More bundled product as well. So the trend is, as expected, either like ASPs going up, of course, FX will be in [indiscernible] effect. ASP is going up with, let's say, the level of complexity of the travel plans increasing. And I think that addresses the first part of the question. Regarding the net payables, close to 60% of that increase is the date, and we discussed in the prior call that Best Day is coming with some legacy debt. And then the remainder of the explanation, it comes with the seasonality. Clearly, the net payable position, as you might recall, particularly, what you see is the receivables goes up, okay, but particularly the payable position also goes up. So it is a combination of both. Approximately 60% EBITDA, that is a one-timer, given that we are consolidating the company. And at the same time, what also happens is that - remember, seasonality for Mexico is different than for seasonality for Despegar. What you used to see, it was that the fourth quarter in Brazil and South America, the fourth quarter, you actually sell a lot, and then you start paying down those payables in the first quarter of the following year. However, Mexico, as they have the higher season in the middle of the year, in line with the Northern Hemisphere, of course, actually, that dynamic plays differently, so you actually have the negative impact of the working capital more in the fourth quarter.
Edward Yruma: Okay. So just to be clear, on the Best Day associated payables, that just represents a use of cash as you pay those down? Is there an accompanying kind of offset or just - thank you.
Alberto Gaffney: Yes. As we, in the future, start those payables starts coming down, that will be on its own and use of cash. However, let's all recall that we are operating at levels that are very low from a gross booking perspective. So the positive working capital dynamic that Despegar has is intact. So as we grow gross bookings, the expectation is that the working capital dynamic will start generating cash for the company.
Edward Yruma: Thank you.
Operator: The next question comes from Eric Sheridan of UBS. Please go ahead.
Eric Sheridan: Thanks so much and hope everyone is well on the team. Maybe I will ask a two-parter around the broader competitive dynamic. As you see the potential for demand to become less volatile and the pickup as we move through 2021, can you give us a better sense for country by country or thinking through the lens of who you see as some of the most competitive forces you are trying to sort of play a mixture of offense against in the region for when demand improves and how that is manifesting itself in the investments you are making in your marketing channels on the product side and on the inventory side? Thanks guys.
Damián Scokin: Eric, this is Damián. In general terms, we see, as Alberto mentioned, significant volatility even from week to week in that - very heavily dependent on how the vaccination and how the restrictions of movement apply, for example, from one week to another, Chile shoot up, then Mexico became more restricted and sales went down. So we don't tend to look at this very bumpy changes, but what we rely on and what we are seeing is an underlying trend of bookings recovery. As per the competitive environment and how are we managing our investments, two things here. We haven't seen any significant change in competitive dynamics as a whole, any competitor emerging with a different strategy or spending significantly more or less in this context, remember that everybody, almost everybody in the market has constrained this investment. What we are doing in this context is obviously taking advantage of our strong brand, our organic traffic and are optimizing and reviewing our traffic spend going forward. The team has been using this month into challenging our already very sophisticated algorithms and attribution models to make sure that, as soon as the market reengage, we even have a much more precise approach to how we acquire traffic. And with the objective, obviously, are relying much more on what was already a heavy proportion of non-paid traffic. So in a nutshell, as was explained during the remarks, we are relying significantly more on our organic traffic. And going forward, we expect that not to remain at current levels, but not to reach our prior levels of investments.
Eric Sheridan: Thank you.
Operator: [Operator Instructions] The next question comes from Kevin Kopelman with Cowen & Company. Please go ahead.
Emily DiNovo: Hi good morning. This is Emily Lavin on for Kevin. Thank you very much for taking my question. I wanted to ask about you know you had impressive take rate expansion in Q4. You noted it was impacted by a mix shift to higher-margin products. But you also noted you improved your negotiations with suppliers. Could you give us some more color on that new strategy and do you expect the increase in take rate to continue going forward? Thank you.
Damián Scokin: Yes. Emily, this is Damián. I would say this is a combination of 3 things. As you say, we leverage our growing bargaining power with suppliers. That is a big driver for take rate. Secondly, the product mix. And obviously, we are trying to push the non-air and packaging components, as we have been doing for several times already. Best Day certainly helped us strengthen that, and we will continue doing that in the future. And selectively, our revenue management capabilities have also been part of what we have been invested over the last few months. And we have been able to increase some of our margins without losing market share. And a combination of those three things, going to your point of whether that will continue in the future, as we always reply, we adapt our pricing strategy very dynamically to market conditions. We believe and I think the results are proof to that, that this strategy is the best possible strategy in this context. And we will challenge that pricing strategy going forward. As per our negotiations with suppliers and our push towards higher-margin packaged products that has been in place for some time, what we are seeing is basically the results of both our organic efforts and how best they help us further achieve that.
Operator: Was there a follow-up, Mr. Kopelman?
Emily DiNovo: No. thank you very much. That was helpful.
Damián Scokin: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Damián Scokin, Chief Executive Officer, for any closing remarks.
Damián Scokin: I just wanted to thank you all for joining us today. We look forward to speaking with you again next quarter. In the meantime, please keep in mind that we remain available to answer any questions you may have. And please stay safe. Goodbye, and have a nice day to all of you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.